Operator: Hello, and welcome to the Agfa Half Year 2021 Results Call. My name is Jess, and I'll be your coordinator for today's event. [Operator Instructions] I will now hand you over to your host, Pascal Juery, CEO, to begin today's call. Thank you.
Pascal Juery: Hello, everyone. Good morning, and welcome to the Agfa earnings conference for Q2 and the first semester of the year. I'm sitting here with Dirk De Man, our CFO; and the rest of the executive committee is also in the room ready to take any questions if need be. So first, rather very good set of results for Q2. We've seen an improvement across the board in our activities. And that translated in a very significant increase in EBITDA, about 30% higher than last year, knowing that last year, of course, was the first quarter of the year that was impacted by the pandemic. Inflationary pressure, and I would like to try and give more color to the comments here on the slide. What do we mean? We mean that we've seen some inflation already in the first half of the year.  We have started, as you know, to increase pricing accordingly in various business areas. However, the P&L impact of inflation will be more significant in the second half of the year than in the first half, simply because the inflation has been building up during the first semester. Price actions are in place, contracts permitting. We have various situations in terms of contractual arrangements with our customers. And every time we can, we increase price. However, we do expect an overall lag, a bit of a lag in the implementation of the price increase. And that will impact margins and especially for offset. Third, our confidence in our ability to make up for the inflation over time is high. It's mostly a timing issue. So that's what I want to clarify on this statement. I think one of the key achievement of the quarter also is we are reporting back to you that we have concluded our pension derisking plan, and Dirk will walk you through on the details of this achievement, which I believe is a very positive news for Agfa. We continue to manage our working capital tightly.  We have, even in a seasonal impact of increasing inventory, we have kept working capital under control at the same percentage of sales of the last quarters. It's an area of really focus for us, and it shows the cash focus of the company. And we have been continuing our cost reduction programs in a number of areas. This resulted in a positive net profit for the group of €15 million. Now if we walk to the P&L. Sales, 13.5% higher when corrected from currency impact. So quite a significant rebound, I would say, in most of our businesses, with HealthCare IT being an exception. But as I repeated over time, we are not so much today after top line but more about quality of the business in HealthCare IT. Apart from that, overall, very nice rebound. We'll give you more color on each of the business or where we stand. Gross profit pretty well-oriented. So it means the top line did translate to the bottom line, even with an increase of margin. SG&A is higher than in 2020, purely because we have cost back with the activity. However, if I compare this number with 2019, we are 15% below. That shows the very tight cost management we are implementing at Agfa. R&D a bit higher, but it's just a timing issue. It will be globally in line with last year for the year. So that results into an EBITDA of €40 million or slightly over 9% on sales and an EBIT of €25 million, almost 6% of sale.  If we go further down the P&L, the big difference, the big swing between the 2 years, of course, is restructuring nonrecurring, which turns positive in this year. The reason being, we have a few asset sales as well as our CR recovery plan does not cost as much as first anticipated. Last year, it was the impact of the Leeds, Pont-à-Marcq announcement. So overall, the only difference as well, of course, is in Q2 '20, we recorded the sale of the HealthCare IT, which resulted, of course, in a huge profit from discontinued operation. But overall, for this quarter, back to a positive net result. All divisions are improving, and that's really the key takeaway. HealthCare IT continues to make progress. Last year in the quarter, we'll come back to that, we did recognize a specific very large contract. But overall, when I look at the overall situation in HealthCare IT, very healthy. We continue to make progress in order intake. Our order book is, I would say, high single digits, higher, almost double digit higher than last year, which is a good predictor for future activity. And we continue to improve our operations in HealthCare IT, so quite happy. Digital Print & Chemicals continue to recover. We still have -- most of the activities are above COVID. We still have 2 activities that are below the NDT part, which is linked to oil and gas and aerospace, and we expect a recovery, but later in line with the sector expectation. And inkjet for which I would say the order intake has recovered, but not yet the sales. And there is a slight delay in, of course, turning the order book into sales in inkjet. So we see a good trend but not yet in the sales. Radiology Solutions, significantly better performance than Q1. Q1 was indeed a quite weak quarter. Although we are still impacted in our film business by COVID because we sell in countries that are still suffering from the pandemic, India, Latin America, Russia, South Africa being a few countries that are significant for us. DR continued to increase double digit. We have put price actions in place in the film. So overall, I would say it's a satisfactory result in Q2.  And Offset, that improved significantly its performance also in Q2. We have seen through the first wave of price actions. Every time where we could, we did increase price the first time, and that was a success. More to come, but as I say, the bulk of the inflation is going to impact the P&L in the second half of the year. And we'll continue with price actions, but there will be a delay in some implementation due to contractual arrangements. So overall, for the quarter, gross margin improves, and net profit of €15 million, I've already said it. I'm going to turn to Dirk to comment the cash flow performance for the quarter and the semester.
Dirk De Man: Thank you, Pascal. Good morning, everyone. So free cash flow for the quarter, obviously, a strong EBITDA result. Working capital is the seasonal buildup that we usually see in Q2. CapEx, normal spending, nothing special in regards to provisions. This is also a bit of a seasonal effect in Q2 that we see regarding employee benefits. Income taxes were positive and that's mainly is due to the fact that we received cash-wise, the R&D tax credits that is more a timing effect as well, leading to an adjusted free cash flow of €5 million. Regular spending on pensions around €10 million; and restructuring nonrecurring, €14 million.  This is really the restructuring in Leeds and Pont-à-Marcq that is coming to cash payouts, and that is increasing the spending in restructuring and nonrecurring, leading to a free cash flow before the extra funding of minus €19 million. And then we had, in Q2, the buy-in program in the U.K. for €113 million, and I'll explain a bit more all the steps that we took in the next slides when we talk about the pensions. So leading to free cash flow of minus €132 million. On the next slide, you can see the year-to-date. So I don't have any -- many additional comments to make. So basically, you can see the EBITDA result, trade working capital, net only €5 million cash out. So again, we also had a good quarter -- first quarter on the working capital. CapEx at normal levels. Provisions is still at positive €8 million. And then in total, I'll just jump to the extra funding of pensions, the €129 million that was spent year-to-date. So in Q1, as you remember, we did the Swedish plan, in Q2, we did the U.K. plan. And so in total, there was €129 million of extra spending. If you then look on the next slide, you can see the cash position of Agfa again. We still have a very strong cash position of €425 million. So we really have continued to have a good cash position. Working capital, it's stable as a percent of sales despite the seasonal working capital buildup which we usually have in Q2. So that really says that we're continuing to do well on working capital management. So we're 2 percentage points of sales below 2020 Q2, so quite an improvement versus last year, where even on an absolute basis, below Q4, which is traditionally the quarter where we try to manage inventories to a very low level. And for 3 quarters in a row, we maintained the 27%. So we're quite pleased with that result.  The key point to make, though, is that inventories are suffering a bit from the global supply chain issues that we are seeing. So there's a couple of effects. There is the raw materials increasing, which obviously makes your inventory more expensive. There are also some transport delays. So due to the disruption in logistics globally, we are seeing a delay in delivery of, let's say, intercontinental transport, but also some delayed delivery of components, I mean, it's primarily in the equipment business, but we are seeing some slowdown of the execution of our supply chain. We had a very good result in trade receivables, notably in the reduction of overdues, I think quarter-on-quarter, we reduced overdues by €10 million. So we're continuing to focus very hard on, let's say, the quality of the receivables, and that had some very good results in the quarter. Let me maybe switch to the pensions and as you recall from the divestiture of the health -- part of our HealthCare IT business, we decided to invest around €350 million in derisking and funding pensions. And we're happy to report that we completed that program in Q2. In total, we have focused on the funded plans. And with the exception of Sweden, I'll get back to that later, in total, they are now 100% funded on average, but there's a bit of overfunding in the U.K., some underfunding in U.S. and Belgium.  And as we said before, also the German unfunded plan will remain unfunded but it's very predictable for us in terms of cash flows, and they will continue to reduce with about $1 million a year. The other good news is that we said our target was to get our net liability below €700 million on the material countries. We actually already achieved that results, and I'll explain in one of the next slides also how we did that. The key reason is that not only did we contribute to the pension plans, but also we were able to register a better discount rate on the liabilities. From that, and I'll share that with you later as well in the slide, is that we expecting the cash outs on the pensions, the regular cash outs, to decrease from €66 million predicted for 2021, that's excluding the extra contributions, to €52 million in 2026, and they will continue to reduce over time. And maybe the last key comment to make here is that when we look at the midterm in terms of what we plan to do. So again, we're not planning to do another program requiring cash, but we are going to explore, I would call midterm, maybe 5, 7, 8 years from now to see whether there is an option to create a buyout for U.K. and U.S. with minimal cash contributions. So -- but that's more midterm, that's not anything for the next few years. On the next slide, you can see what we did do in the past 12 months. So this is quite a intensive program that we had. So here you can see the overview in Belgium, we basically focused on extra contribution. So there was no derisking activity there. In the U.K., we did extra contribution in both years. And they were used for a buy-in, which we completed this quarter. And on the left-hand side of the slide, you can see the definition of a buy-in.  So basically, the buy-in creates an asset on our balance sheet that balances with the liability of the pensions, taking away all the risk and the volatility on that part of the buy-in. In the U.S., we did some extra contributions with the annuity purchase. We also did a lump sum project. And then finally, and that is not part of the material countries, but €16 million is what we did in Q1 with a complete annuity purchase of the Swedish pension plan in total amount of €16 million. So that was the program. On the next slide, you can see the impact on the funded status. So versus 2019, as I mentioned, it's almost €380 million reduction of the net liability. Versus year-end 2020, it's a €211 million reduction. And on the left-hand side, you can see the €211 million explained. So on the one hand, we did the €129 million extra contributions. There was €35 million of normal contributions that we did.  And then we had an impact of remeasurement. So over the past few years, we each year had to come back with, unfortunately, lower discount rates, which continue to increase the overall net liability. We're happy to report that the trend is turning. And so the new discount rate was established at €1.42% versus €1.05% at the end of 2020, and that created another additional lift of around €80 million. So overall, good news and maybe also to note the funded status of the nonmaterial countries evolved from €38 million to €16 million. So that's basically the elimination and the revaluation that we had on the nonmaterial countries, which included Sweden, which is now not anymore. So there -- if you add the 2, you have the total amount. On the next slide, and again, just some -- a bit of numbers for transparency purposes. I think the key point here is that we wanted to share with you where we are in the first half, but also where we're going to be estimated at the end of the year. And again, I'm not going to give much detail. I think this is just useful information for the financial community. But on the next slide, I think that's the more important one. This is the outlook, the projection that we have made for the next couple of years. And basically, obviously, we had to make assumptions.  So the assumption number one is that we maintain the discount rate. So there is no improvement of discount rates and also no experience gains or losses or demographic adjustments. So it's basically a ceteris paribus projection of the pension liabilities. And as you can see, we're projecting for 2026, a reduction of €133 million down to €440 million, more or less. Also, the pension costs will go down to €28 million. And you can see that -- and we basically broke down the total cash cost into the different components because that's useful for financial modeling.  So the extra cash out this year was €113 million. The regular cash out €66 million, of which a part is included in the EBITDA and some part is below EBITDA. So there, you can see that the regular cash out is going to come down from €66 million estimated this year, and that's down from, I would say, €75 million to €85 million over the last few years. As you recall, this year is already a series of reduction versus the past and continue to go down to around €52 million in 2026. So overall, I think a very good achievement, a very good work done by our risk management and treasury departments and I think, overall, a very successful program, delivering exactly on the expectations that we were having for it.
Pascal Juery : Thanks a lot, Dirk, for this very comprehensive explanation of the pension situation. Let's turn now back to the business and look into more details at the various divisions of the company. We're starting with HealthCare IT. This is the exception to the top line. As I told you, it's not the first priority right now. And on top of that, we have a comparable in Q2 where we had a very significant contract that was recognized in one go, which is not, by the way, typical of the way the business is done. So actually, when you look quarter-to-quarter, you see a decrease of the activity.  But if we take into account the overall more steady state, we are still happy with where we are in HealthCare IT. 14% EBITDA, costs are being under control. The gross profit is at a very good level. So there is nothing broken with the business on the contrary. The division so performs well. We are looking at the order book, which is for us the way to describe where our business is going, and we're encouraged to see that order intake is picking up.  What's interesting, it's picking up also because we are gaining customers. We have made new customer contracts in the past quarter especially in Italy or when we renew customers, we renew it with an expanded scope and a new generation of products. So that's also part of the progress we are making. So I told you, the order book is roundabout close to 10% increase compared to last year, which is very good, and we expect this trend to continue over the next quarters. We are more and more offering -- we are becoming, I would say, one of the strong players in this market.  We have concluded this quarter our first full cloud-based contract. We have started to sell actually artificial intelligence solutions to our customers. We are recognized by market organizations such as KLAS as good players also for cybersecurity. So overall, I think the momentum that we see in this market is very positive. So we are confirming, of course, our objective of high teen EBITDA percent in the midterm. Actually, you see that we are getting close to this target almost, I would say, every quarter. So that's for HealthCare IT. Radiology Solutions, so clearly, a rebound from a rather weak first quarter, you see currency adjusted almost 10% growth over last year.  Profit-wise not exactly in line in terms of EBITDA, but close to it. And if you -- we look at the detail of the business, as I told you already, DR continued to grow double digit in a market that is rather subdued in terms of context and growth. Medical film volume still impacted by COVID, even with this recovery. We are not yet back to normal in terms of these geographies that are representing a significant part of our shipment. We have put in place selective price increase policy as well to tackle the inflation pressure with, I would say, success. So overall, I would say it's back to normal situation for radiology and a satisfactory performance. If we turn to Digital Print & Chemicals. Well, here, you see a 23% growth over last year in terms of revenue. We are not yet fully back to pre-COVID level in the division as explained, but it's a very good progress. And that translates as well on the bottom line because we continue the ride of the first quarter with even some improvement with a good profitability for the business. If we look into more details, everything -- so we have 3 businesses, I would say, to keep it simple in the PC.  The first one is inkjet. So inkjet, all the consumables and the service are back or higher than pre-COVID levels, meaning that our customers are busy printing and digital printing has some momentum, I would say. The equipment business is not yet back in terms of sales. And here, the capital decisions are bit slower than usual. However, when we look at order intake and even ourselves, we are making tremendous progress, and our order intake, I would say, is now back to a very satisfactory level.  Now the name of the game is to translate it into sale, and that's where what Dirk was talking about regarding supply chain challenges, transport, part supply is basically slowing down a bit or extending, if you want the time between order intake and recognition in sales. But frankly speaking, we are encouraged. On top of that, when we look at the mix of our order book for printing equipment, it's more on the high end, meaning more in consuming and I would say, more expensive machines, more productive machines. And so we're encouraged with what we see. We have introduced, a few months ago, the fastest Jeti Tauro printer. And actually, the success we had in the market exceeded our expectations. And right now, the name of the game for us is to make sure we can fulfill the order. So that's an extremely good sign for us, of the health of the business. And all our solutions in the core printing, laminate flooring, leather are ramping up. It's not yet significant in our numbers. But we are very confident going forward.  At the same time, we are looking at new applications, Jeti Tauro printer with a machine that could do also some packaging jobs. And this is an area for us that is very promising and that we are going to develop. Then the second business is what I would call the more legacy film business from Agfa, especially the largest one is NDT, non destructive testing, which is going to aerospace and oil and gas. And here, that's one of the area where we are not back to normal volume in this area. Our Specialty Chemicals business is actually above pre-COVID level. The reason is quite simple. The positioning we have is very favorable. I discussed already our ZIRFON membrane's potential. It's not yet material in our sales. But it's still -- it will still be multiplied between 2 and 3 for the year. And when we look going forward, the project pipeline, at our customers, it's absolutely tremendous. I mean the project pipeline has been multiplied by -- in the industrial green hydrogen by, I would say, more than 10 in a year.  So very bullish going forward, not yet impacted fully. We have launched our latest membrane, UTP 220. Basically, that's a membrane that gives higher yield in terms of hydrogen production. So you can see that here, we have extremely good momentum. Our connective polymers that are used in hybrid and electric car technology are doing well -- as well as you would expect. So overall, apart from film and foil that are continuing to be a bit subdued, except for a small niche, we have in printing, we have synthetic paper printing for which it's taking off. But NDT is really the one that does not yet improve back to pre-COVID levels. But very positive on DPC. Offset. Offset, here again, pretty positive sets of results for Q2, 20% improvement in sales. We are not back to COVID level and we don't expect to be back to COVID level, by the way. We may progress, as you see on the profitability of the business during the quarter. As you know, we've taken a lot of actions in order to restore the profitability of this business. A lot of cost action, but also reviewing our revenue model and so on and so on.  So overall, a satisfactory quarter. However, as I already mentioned, we are impacted the most in Offset by the cost inflation for the group, not only for aluminum, but also, I think, like across market, biochemicals, packaging and shipment cost as well. So it's a significant impact that we had to absorb already in Q2, but the impact is going to increase in Q3 and Q4 in terms of P&L. We are taking actions on pricing. We are taking the lead actually in price increase, I would say, in the Offset world.  We are -- this is already the second round of price increase that we are offering. However, as explained, we do have contracts in place that are aluminum indexed, but the index is kicking in at a later date. So it's not a question of if but when. And then we have more -- we have also some fixed contracts that we are busy renegotiating, but that implies a lag -- somehow a lag of implementation of the price increase across the board. So we are looking at, indeed, a more challenging H2 in Offset, although we are taking all the steps to preserve profitability. One of the thing also I would like to mention is we are continuing to review our business and the latest decision that was made. We had actually a kind of tier 2 approach in terms of digital play it's offset with a subsidiary in Spain. We have decided to wind down this activity over the next 6 months and to reintegrate it back into Agfa with a tier 1 approach. So that's another example of all the actions we are taking to sustain profitability of the business. We are making progress also in setting up the business in a stand-alone as announced at the beginning of this year. So overall, if I look at what's in store for the rest of the year, we do expect a continued recovery in volume. That's pretty clear across the board, we are seeing positive momentum. The one event that I've been talking about is really the inflation impact on the P&L, that's going to be more significant. I'm not coming back to that. I think that, that's really the main subject for us going forward. So quite -- and that's mainly for Offset, and the rest of the business is, I would say, much less impacted. That's pretty much an Offset-specific subject.  But overall, we will continue to take price action. We will continue to manage our cost very responsibly and continue to have cost reduction initiatives in a number of areas. And of course, we will continue to manage our working capital very tightly. And we expect this also to show during the second part of the year. So that's where I'm going to stop for the presentation and open up for questions.
A - Pascal Juery: So we do have some people in the room, some analysts in the room. And maybe we'll start with the room, Viviane?
Viviane Dictus: Yes, Yes.
Pascal Juery: We are going to start with the room, and then if you have a question over the phone for -- mainly for the press, maybe, okay? But we are going to take the question from the room.
Kris Kippers : Kris Kippers of Petercam. First question, logically, I think, on the lagging price increases. I was just wondering if you look to industrial players, they are mentioning that price increases are being accepted today by clients mostly. So to what extent are you hindered by your fixed contracts? Could you give an idea of the percentage of the group level or at least some indication? And why is the impact so big in H2 and not yet in the second quarter?  I think if there is a -- might be on the contract side, on the purchasing, perhaps. And the second question, linked to that a little bit, on your working capital. To what extent actually do you need to pay your suppliers in advance to obtain raw material? Is there any shortage yet? Or is that not an issue today?
Pascal Juery : I'm going to start with the price, with the price on the contracts. I would say -- I would say, and look, you can step up if you believe it's not exact, but I would say you asked 3 situations. Because mainly it relates to Offset. I would say the situation is a bit different in other areas or I would say, in other areas, it's less material than in Offset. But in Offset, we have 3 situations. We have customers for which we can increase price immediately, and we already did so in Q2.  You have customers who have some aluminum -- some aluminum-based contracts with index that are kicking in with some with some delay that could be 3 to 6 months, I guess. And you have fixed contract. That's the 3 kinds of contracts that we have for Offset. Now to quantify it, let me say that we have, yes, sizable -- sizable part of our business that are on contracts that will induce a delay, either through an index or through a fixed contract for the year. I'm not going to put numbers on it, but there is a good -- so that's where we are. However, so far, every time we've been -- the first price increase that we pushed through was a success. And I can say we have not lost material volume. You can always have something happening at the fringe, but that's it. So that's where we stand.  And again, it's mainly for Offset, this situation. And why is it so significant in the second half? Because aluminum, freight, chemicals, packaging, they have not increased on January 1. They have been continuing to increase. It's leveling off in packaging, in chemicals, but not yet in the freight or not yet in the aluminum. So which is why the impact is much more in H2 than it was in the first half of the year.
Kris Kippers: Okay. And just a small follow-up. You, as a price leader, mostly, of course, you raise prices first. Competition is following generally?
Pascal Juery: We have seen for the first wave of price increase. We have seen indeed some other competitors issuing price increase statements, I would say. We -- so basically, that we have seen. Most recently, we've seen the market leader in Japan do an announcement of price increase in Japan. Which is typically a bit late by the way, but it's part of the culture, I guess, business culture in Japan. They did it. So overall, I guess, everybody is confronted to the same challenges in the industry. And the price of aluminum is pretty global anyway these days. To your question on working capital, are we obliged to do advanced payment to suppliers to secure raw materials? I'm not aware of that at all. Not at all. And if you look at our working capital and the DPO in terms of number of days, it has stayed and improved, by the way, at a good level. What is bothering us in the everyday life, these lead times are getting longer. And it's difficult to ship. As you know, we source some of our components in Asia, of course, as you would expect. And therefore, we seeing -- we are seeing this difficulty but not to the point of where we have to pay in advance our suppliers.
Guy Sips : Guy Sips, KBC Securities. I have 2 questions. First is on the pensions. And I thank you for the very good explanation and numbers you give on this one. It's mainly on the Swedish pension fund. So the cash outflow was in the first quarter, it was in the second quarter that you booked a profit on that in the restructuring and nonrecurring items. So the real question is, can you break down a little bit this €3 million plus?  What is the impact of Sweden and what's the impact of the Spanish business that you closed? And then can you give us some guidance on this restructuring and nonrecurring items. I think previously, you were hinting for €40 million on a full year basis. Is that still the case? So can we expect there quite a large number in the second half of this year?  And the second question is on HealthCare IT. So in second quarter 2020, we saw this big contract, which is not recurring. But the question is actually, this kind of bigger contracts, how many times can we expect this? Is that once every 2 years, once every year? Is that -- or is it just once and it's not recurring?
Pascal Juery: You want to start with the contract or Dirk or are you ready or -- any time?
Dirk De Man: Yes, fine. So in the nonrecurring and restructuring, there were some special effects in there. The restructuring for Ipagsa was around, let's say, EUR 3.5 million. And again, these are all approximate numbers and not exact. The reversal on the restructuring regarding South Germany, it was around €10 million. The overall guidance -- sorry, did I -- so I covered the Swedish pension was around €4.5 million gain.  And the guidance, I think at this point in time, I would -- I'm not sure exactly what I said last time, but around €30 million -- €31 million is what we are predicting right now, but that depends on certain decisions to be made still in the second half of the year, but that would be more or less the guidance.
Pascal Juery: Luc Thijs heading our HealthCare IT business, can you answer on the -- the contract?
Luc Thijs: Sure. So if you look at the business of Health IT, you first have about 55% of the business, which is, I would say, recurring, it's very stable. It grows gradually. It's based out of your support and maintenance contracts and so forth, very predictable. And then you have projects. And these projects are recognized based on milestones as you know. And sometimes, you reach such a milestone and sometimes you don't. It's -- the quarterly evolution of the project business will continue. That's something that you will see on a continuous basis, particularly in Q2 of last year was that you had a significant customer, and at the same time, a significant milestone that was reached for the entire customer.  And that's what is making it an exception. But what you typically need to do for the HealthCare IT market is to look at not quarter-per-quarter, you need to look typically at a yearly cycle and how the improvements takes place on a yearly cycle. That's a general -- a general thing to keep in mind when you look at this.
Pascal Juery : Which is why the -- of course, we look at the delivery. But for us today, the main area that we are looking to track the business is the level of order intake and the level of our order book. That's really -- as well as, of course, the quality of the order intake, what do we sell and the quality therefore of the order book. That's really what we are looking at in this business. And looking at this, we feel pretty confident. Now you can have a quarter where you have less project implementation and a quarter where you will have more. But it's not -- so there is a bit of variation on the project side, as explained by Luc, but overall, what you need to look at is this indeed on a...
Luc Thijs: Yearly...
Pascal Juery: Yearly basis.
Maxime Stranart: So Maxime Stranart, ING. So if it's okay for you, 4 questions on my side, one for each division actually. First of all, on HealthCare IT, you mentioned that the order book is the way you operated the performance of the business. Is it something that you plan to publish in the future? And could you already quantify? It's on the Radiology Solutions side, obviously, still a negative impact from hardcopy, which will decrease the product mix performance.  Could you quantify or do you see the hardcopy business evolving for the second half in 2022. Thirdly, Digital Print & Chemicals with the new UTP 220 and membranes, again, can you quantify in terms of volume, in terms of amount, what you're selling right now and how the pipeline is looking like? And finally, in Offsets, could you quantify the impact of the wind down of the activities in Spain. That would be all for me.
Pascal Juery: All right. Are we going to publish our order book? I listen to you for the time being, we do not indeed, although we give you indication on the evolution of this order book. I note what you say. We'll -- I don't have -- we need to think about it. I'm -- I need to look at what can be done in this area but I heard you. UTP 220, I mean, let's face it, I'm not going to quantify right now. It's impossible to quantify. For the time being, it's not yet a material business.  You understand if you look at things in the green hydrogen market for the time being, you have a lot of projects being committed in the market. Of course, we sell membranes when the projects are being implemented. There is a lag in such implementation. So for the time being, it's not easy to quantify. UTP 220 is the latest addition of our range.  This is a top of the range product. It's just being launched. But I would say, for very large projects, that will probably be the membrane of choice for our customers quantifying the potential of the membrane business that can be done, but you're talking 3 to 5 years. And you're talking 3 to 5 years, the business that with what we see currently, we start being material for the group, but not before this period of time.  And giving numbers is premature. However, if you want to look at it, there is a good proxy. There is an inventory being done of the projects announced in green hydrogen. That's about 80 gigawatts today, I guess, more or less. And therefore, you need to look at the share of the alkaline technology in this in terms of gigawatt, and that's also information that can be found. And then what is necessary for you to understand is basically what -- how does it translate for us in terms of sales, okay?  So that's what you need to understand. In a project, our membranes are critical to performance. They are not the bulk of the cost of building a green hydrogen plant. But this is the way you can look at it, look at the evolution of the portfolio project. And you will see you have a way to understand what is the potential for us. Now radiology quantification for H2. That's a bit -- well, typically, the seasonal pattern for hardcopy is Q3 is a bit weaker and Q4, a bit more active. From what we are seeing today, it's difficult to -- as I said, this is an area that is still a bit COVID-impacted given the nature of the geographies we sell in. What I can tell you is for the time being, we see some continuity. We don't see any disruption with the seasonal variations. And in China as well, we are seeing the VBP process being on pause. So for the time being, we also have a stable outlook in China, that I can share.
Maxime Stranart: Offset, yes.
Pascal Juery: Question on Offset. The wind down of Ipagsa and the impact. Luc, you want to take this one? I don't...
Luc Thijs: Ipagsa, there will be no impact. Ipagsa, it would be rather even a positive impact next year. So it's not contributing to the EBITDA.
Pascal Juery : There will be a positive impact on 3 fronts for me. As Luc said, it's not contributing, so it's going to contribute to the profitability. We have the opportunity to take over part of the business, not a lot, that's all. And third, we are going to wind down the working capital associated with the business. So three benefits.
Luc Thijs: I'd say next year. We want to wind down orderly the business.
Pascal Juery: Yes. We have a 6-month period which is why most of the impact will be next year, will improve probably a bit already this year, but most of the impacts for next year. Sorry for having forgotten impacts. If you have more, go ahead, Kris.
Kris Kippers : Yes. Still one question remaining. Looking at the comments on the cost base that you made versus 2019. In view of the restructuring, could you share with us a bit on where the cost base should normally land on a full year basis? Or for example, going forward with all the restructurings, which are now taking place being done. Do you have an indication of if your sales level is again stabilizing and structurally up, where should be the inflection point?
Pascal Juery: Okay. We're not guiding of SG&A. Of course, it's -- we will continue our efforts in SG&A. We will certainly continue our efforts going forward in a number of directions, but you'll have to wait for specific initiatives. So as I said, part of it has come back from 2020 in terms of cost, but we're still well below 2019 and we still are working on productivity plans for the group. It's linked also to Dirk answer regarding restructuring. So you will see. But my message is we have a track record of managing cost down, and we will continue. Any other question from Maxime?
Maxime Stranart: Again one, recurring one for me. Do you have any midterm targets, group level or divisional level, that you would be keen on sharing at some point in time?
Pascal Juery : Well, at some point in time, yes, we will do it. We -- yes, I would welcome the opportunity to do it. You'll have to be a little bit more patient, I would say. But yes, I mean, we will do it. We already I give you -- I believe we are giving you this for HealthCare IT, we have made a commitment and we know where we want to be. We are actually working on our strategic plan for the rest of the group. And as soon as we believe we have something that is ready, we'll come back to you on this, and I note your point indeed.
Guy Sips : One last question on the pensions from my side. As you stated that your only plan in the midterm and you stated the 5, 7, 8 years from now, derisking intention. So does that mean that for now in the next quarters, it will be quite calm on that front? Yes, so really the program...
Dirk De Man : Is done. So basically, we committed to that program, and we executed it and it's done. So we're not planning to do extra contributions, extraordinary contributions to the pensions in the foreseeable future and things can change in the future, but that's not the plan at this point in time. When I talk about derisking, it is really playing the combination of, let's say, discount rates moving over time. The market premiums to do a buyout potentially coming down in the future and then getting to the right point in time to actually be able to take it off balance sheet and do a complete buyout.  So that's really what I wanted to say. So we think if we let time act -- and again, I'm not pretending to know what interest rates will do in the long term, but I do think that there is a turning point that we have seen that I hope will continue to evolve over time, we could get to the point where we could do a buyout without any additional contributions on some of those funded plans. That's really what I meant.
Guy Sips: And can you give us some guidance that every 25 basis points, the interest rate's rises has a impact on your pension?
Dirk De Man: Yes, we will redo the assessment. So that's published in our annual report, and we will redo it, but I think we didn't do it for this half year. We will redo it for the full year.
Guy Sips: And is it fair to assume that the underfunded status in the U.K. is balanced out by the over -- sorry, the overfunded status in the U.K. is balanced out by the underfunded status in the U.S. or is it...
Dirk De Man : Yes, it's U.S. and Belgium is -- yes, that's balancing. So those 3 together, they're close to 100%. There is a bit of overfunding. And again, it's IFRS valuation. So the point is, for a buyout, you need to look at the market conditions, which are not complying with IFRS necessarily. So yes, that's the way it is.
Guy Sips: Sorry, last from my side on this, why only -- why stating this -- that is it -- that your intention is to derisk in the midterm and not earlier? Is there specifically...
Dirk De Man: Yes. As I said, at this point in time, our intention is not to do any additional funding. So obviously, if you want to do a buyout, if you put the cash in, you can do a buyout. It's a premium that you would pay. But we're not willing at this point in time to pay that premium. So we're really going to see how the market evolves and try to get to that buyout point without needing to add cash. So we could do it earlier, but that would mean that we need to put more cash in, and we decided that the program was going to be €350 million and not more than €350 million.
Pascal Juery: I think it's a good guidance. We are looking at any derisking action that will not cost us cash. If it happens in a year, so be it. But more realistically, we believe it's more midterm. I think that the point we're not -- we did what we believe is necessary. We are not putting more cash. All right. Maybe time for 1-minute concluding comment. So overall, a good quarter across the business. Clearly, an inflation challenge that will impact more in H2, but it's more a question of timing than anything. It's not a structural issue. It's more a timing issue. Very pleased with the development of HealthCare IT and DPC over the past quarters, and this will continue. So very confident going forward in this area. We will continue also our actions on cost management and working capital. So continue to run the company very tightly. That's for me the key takeaway. That's time to conclude the call. Thank you very much to all of you attending, and I look forward to talk to you soon. Thank you.